Isaac Lima: Hello, everyone. Welcome to Adyen's H1 2025 Earnings Call. My name is Isaac Lima, and together with my colleague, Maggie O'Donnell, we cover Investor Relations here at Adyen. Today, I'll be facilitating a short discussion about our business progress and our financial results with our Co-CEO, Ingo; and our CFO, Ethan. After that, Maggie will take over for a Q&A session. [Operator Instructions] With that, let's get started.
Isaac Lima: Ingo, let's start a little bit broad. When you look back at 2025 is this first half of the year? What are your main takeaways?
Ingo Jeroen Uytdehaage: Well, thanks, Isaac, and thanks, everyone, for joining the call today. Yes, when we look at 2025, our main objective was to increase the share of wallet with our customers and win new customer logos to our platform. And if we look at the execution of this, we are very happy with the results so far. We continue to increase the share of wallet in multiple verticals and geographies. And at the same time, that is the case for the logos that we have won both in the enterprise section as Platforms. So that's very positive. We also had some negative impact of what's happening around us. So in the macro world, the strong euro or the weak dollar, however you look at it, impacted our results and the fact that the tariffs impacted some of our merchants. So specifically the merchants base in APAC that were trading into the U.S., they were impacted by this, and this also had impact on our numbers. Same time, it's also an opportunity for us. And that's also how we always look at new things that change around us that we can't control. And we can help those merchants to go into new markets. And that's, of course, the benefit of a single platform. So looking back and also looking at the main themes with our customers, we're focusing at three big things that are important to our customers at the moment. The first is to make sure that we continue to help them increase their authorization rates at the lowest cost and the lowest fraud rates, very important topic. The second topic that we invest a lot of time in together with our customers is making sure they can enter into new geographies, the APAC merchants as an example, but that's, of course, a broader theme for our customers. And then thirdly, how we can help Platforms to become a financial technology player. So how they can offer financial products based on our infrastructure to be successful in this space. And if I take this all together, I'm very pleased where we are with this first half year. We're executing in line with our plans, and that's what we're also going to do in the second half of this year.
Isaac Lima: Thanks, Ingo. Now Ethan, clearly, a lot has happened in this first half of the year. Can you help us understand how that played out in our numbers?
Ethan L. Tandowsky: Yes, sure. So as Ingo mentioned, it was a resilient first half of growth for us this year. Ultimately, our net revenues grew to around EUR 1.1 billion or 21% growth on a constant currency basis. Our growth would have been 1 percentage point lower on a reported basis. If you look at where that growth is driven from, the biggest part continues to come like it has in past years from expanding share of wallet with our existing customers. That's a strong trend for us as we continue to grow also in the years ahead. At the same time, we also were able to add new wins, new customers to the platforms, which will be supportive to that growth again. The part of our growth, which was lower than what we had expected coming into this year is the growth of our own customer base as we had referenced previously. When we look at it from a regional perspective, we saw that EMEA was our fastest-growing region at 21%, closely followed by North America at 20% growth this half year. When we look at EBITDA, EBITDA grew 28% this half year, which brought EBITDA margins up to 50% as we're seeing the operating leverage of our business model continue to kick in even as we continue to invest in the team at the same time. And so ultimately, it was a strong, resilient half year of growth for us so far.
Isaac Lima: Thanks, Ethan. You, of course, mentioned our regions. Can you also add a little bit of color to the performance or the business developments that we've seen across our three pillars in this first half of the year?
Ethan L. Tandowsky: Yes, happy to. Starting with Digital. Digital in the first half grew 10% in net revenues. That was again driven by slower growth from APAC headquartered online retailers. At the same time, we're also seeing strength in verticals that we've seen past strength in as well, verticals like content and subscription, delivery and mobility. They continue to perform well not only as verticals, but also across various regions that we're operating in. If you look at Unified Commerce, Unified Commerce grew net revenues 31% in the first half. That's driven by continued strength in our retail group of customers, but also in the verticals that we've been growing into over past years, verticals like food and beverage, like hospitality, like entertainment. We're diversifying our customer base within Unified Commerce, and we continue to see the benefits of that in our net revenue growth from the first half. Platforms was growing 55% in the first half. That's the fastest growing of the pillars. That's mostly driven by vertical SaaS platforms. We now are up to 32 Platforms who are processing over EUR 1 billion annually with us as we continue to grow in that space. It's, of course, important for our customers that we support them in embedding payments, and that's where you see this growth coming from. At the same time, we're also seeing traction as we develop financial products and help our customers grow into broader financial technology providers themselves.
Isaac Lima: Thanks, Ethan. Maybe let's go back to Ingo for a little bit. Ingo, you mentioned earlier about our continued investment to -- in innovation, which is, of course, a very important topic in the industry right now. Can you give us a few examples of how we approach innovation at Adyen?
Ingo Jeroen Uytdehaage: Yes, absolutely. So if you think about how we approach the market, we want to take full control over the infrastructure. So we have made heavy investments in the infrastructure that we built over the years. And that's ranging from how we operate our own IT infrastructure to the licenses that we hold. So having banking licenses in Europe, U.S., U.K. helps us to build the products that are most relevant to our customers. And our customers are very forward-looking customers. So they -- what they're looking for is, for instance, also to move money around the world at the lowest cost. Because we have these licenses, we are capable of doing this. We have direct access to the clearing. So for us, it's very easy to be efficient here. At the same time, I think an important part of our philosophy is always to move quickly when new things emerge. And I think stablecoins is an example here. I think stablecoins will help to also move money around quickly. And so it's very similar or in line with the things that we want to achieve as a company. So if that further arises and merchants see the need for it in the markets that they are active, we will certainly start to offer it and move quickly.
Isaac Lima: And I'd like to stay on the topic of innovation for just a little bit longer, if you don't mind. Can you give us some specific examples of things that we have already built as a result of demand from our customers?
Ingo Jeroen Uytdehaage: Yes. So we've built, for instance, Intelligent Payment Routing or Adyen Uplift, both products that we launched in the second half of last year, and we have seen high uptake since. So these are very successful products. If we look at Uplift, for instance, this exactly caters to the needs that I was alluding to in the introduction, where we want to optimize authorization rates with cost and fraud. And since the pilot, the uptake of this product has been phenomenal. One thing that customers really appreciate in this product is that it is a full funnel approach. So taking all these matters into account and then come up with the best solution instead of what legacy systems do and typically take these different optimizations separately. One of the subproducts in Uplift is Protect. And to give a bit of flavor how successful it is, like 2/3 of our customers in the first half that started with us have implemented Protect from the beginning. So I think we are in a very strong position here to help them to be successful in this space.
Isaac Lima: Clear. That's good to hear and indeed, very good signs that our products are resonating with our customers. Now another topic that's also generating quite some buzz in the industry is the use or the rise of autonomous agents, especially within online commerce. Do you see Adyen playing a role in this shift?
Ingo Jeroen Uytdehaage: Absolutely. So of course, Adyen ecommerce that you're referring to is in its early days, but it is promising, and we're tracking it closely to see how we can best help our merchants to adopt it when it's ready and when it's there. So one of the things that we do is we look carefully with our customers, how we can best help them. So how should the product look like and how can we get to the best experience? And if you look at our platform -- our single platform globally, we have a couple of components in our platform that's already are catered for this journey. So we have authentication, we have tokenization, we have a very good fraud system and packaging this with the new needs of our merchants for Adyen's ecommerce will lead to the best product. So we're in that process of further preparing for it and making sure that when it takes off, we have a best-in-class product available that basically caters for a frictionless experience, but also making sure, for instance, that fraud stays under control because that's, of course, a risk if you don't exactly know who's transacting as an agent.
Isaac Lima: Clear, thanks. It seems like our platform is ready for what's to come then.
Ingo Jeroen Uytdehaage: Absolutely.
Isaac Lima: Now Ethan, let's look forward a little bit. So how are you seeing the second half of this year? How do you expect it to play out, especially in the current macroeconomic backdrop that we're operating and also, of course, considering all the things that you've already seen playing out in the first half?
Ethan L. Tandowsky: Yes, sure. Good question. So I think if you think about where our growth comes from in any period, again, the biggest part is how we expand share of wallet with our existing customers. We're seeing strong traction through the first part of this year, and we expect that to continue through the second half of this year. We're also adding a number of new logos. It's a more sizable cohort so far this year than we've seen in past years. So we see also strength there. That's what gives us the confidence that the opportunities for growth, not only this year, but also in the years ahead are really there for us. The part of our growth, which is lower than what we had expected coming into this year is the market volume growth, the growth of our own customer base, which is mostly focused on a small subset of customers that I discussed previously. But we expect that to continue through the course of the second half. And that's ultimately why we expect second half net revenue growth to be similar to what first half net revenue growth was. Beyond that, we're excited about the position we're in, about our ability to execute, about our ability to grow with our existing customers, but also the new ones we're adding, and we'll continue to focus on that execution. From an EBITDA margin perspective, we're both investing in the team, of which we continue to invest in -- continue to plan to invest in a similar way in the second half as we did in the first half. But we, at the same time, see operating leverage that's inherent to our business model. So for the rest of the year, we expect EBITDA margin to expand, albeit at a slower rate than we saw the expansion from 2023 to 2024, given that investment we're continuing to make in the team. When I look ahead, again, I feel we're in a really strong position to continue to develop and deliver growth together with our customers, both our existing customers, focusing on new markets, winning share of wallet, providing new products, but also with the new customers we're adding to the platform, and we're excited to continue to execute and work on that together with them.
Isaac Lima: Thank you very much, Ethan, and thank you both for your insights so far. This concludes the first part of today's call. We're now moving over to the Q&A section. Maggie, over to you.
Maggie O'Donnell: I'm Maggie O'Donnell from the Investor Relations team, and I'm going to be moderating today's Q&A. [Operator Instructions] Let's get started and take a look at the questions we've received so far. Our first question comes from the line of Adam Wood from Morgan Stanley.
Adam Dennis Wood: It's Adam Wood from Morgan Stanley. So maybe just starting off, you obviously highlighted the weakness with that cohort of merchants in Asia selling into the U.S. I think the biggest question I've had today is, could you just kind of reassure us on the scale of that exposure? Is it big enough to have justified the move down in the guidance for the full year? Were there any other kind of reasons or problems in the business that you identified outside of that? Or was that the big thing? And then could maybe, secondly, you give us a bit of an idea of what you've assumed on the second half of the year in terms of that impact? Have you assumed that it stays similar to what we saw in Q2? Have you assumed that there's any kind of move in other geographies that could impact?
Maggie O'Donnell: Thanks, Adam. Ethan, why don't you take both of those?
Ethan L. Tandowsky: Sure. Yes. So if we think about this cohort of -- or this subset of customers, it's a handful of customers. I think the easiest way to try to quantify it is to look at what our growth would be especially in the second quarter because the impact happened in the latter part of the half. So if you would take this subset of customers out of our growth -- out of our platform, our growth would have been approximately 2% higher in Q2, right, because that's where most of the impact was seen. That's also what we expect to see in the -- continue to see in the second half and why our view is that we'll see similar growth rates in H2 to what we saw in H1.
Maggie O'Donnell: And the second question?
Ethan L. Tandowsky: Yes, in terms of assumptions, ultimately, it's that, right, that we expect that this will continue through the course of the second half. And of course, if that positively develops, that can change for us as well. But it's currently our expectation that, that will continue through the course of the second half. And again, why we've tried to share the outlook as we have.
Maggie O'Donnell: Great. The next question comes from the line of Justin Forsythe from UBS.
Justin Thomas Forsythe: Very good. This is Justin Forsythe from UBS. So a couple of questions here. Sorry to dig on this a little bit more, but I'm going to follow up on Adam's question regarding the macro impact. So I just want to make sure that we're super clear on the precise impact there. So you talked about 2 points higher in 2Q. I think that would have been a partial quarter impact, meaning I believe that tariff impact you're speaking about started at the beginning of May. So does that mean that we should be expecting a greater relative impact in 2H, which makes up the delta, if you will, between the prior full year guide and the current? And just to be clear again on that point, you're basically assuming a certain growth rate over that May to June period and then keeping it exactly the same as you pull that through the rest of the year. A secondary question, not tied to the guidance, Uplift. I have heard from some that you're beginning to charge for this feature after I believe it was initially rolled out as a complementary solution. Is that true? And maybe if you could just talk about what you're charging for and what the uptake has been so far with the clients that have it, maybe a percentage of adoption rate or something like that?
Maggie O'Donnell: Thanks, Justin. Ethan, why don't you take the first one on impact and Ingo, you can take one on Uplift.
Ethan L. Tandowsky: Yes. So I think, indeed, it's true that we saw most of the impact from this group of customers in the second quarter. That's very much towards the end of the half. I think the best way to look at it is indeed the Q2 number. That's why I tried to help with quantifying it around 2%. Now was it exactly from the very first day of the quarter, fair enough. But I think the right type of magnitude to think about is that 2%. In terms of the assumption for the rest of the year, it continues to be our expectation that, that's the type of impact that we will see through the course of the second half, which is again why I hope it's helpful that we quantify it in this way. Uplift?
Ingo Jeroen Uytdehaage: Yes. So on Uplift. Indeed, Uplift is a product that we launched in the second half of last year. We are partly charging for it. So it depends a bit on the module that you're exactly using and some of the parts are free. Of course, ultimately, what we're building for is that we charge for the products that we offer to our customers. So it's currently a mix. The uptake of Uplift is very positive. I can't share precise numbers. That's why we try to be helpful on the product side, which is part of Uplift, where 2/3 of the new customers have taken that product when they started with us. So I think that gives order of magnitude. And going forward, of course, where we can -- where we bring value to our customers, we will charge for it.
Maggie O'Donnell: The next question is going to come from Mohammed Moawalla from Goldman Sachs.
Mohammed Essaji Moawalla: Two from me. Firstly, I just wanted to kind of confirm that outside of the kind of Asia headquartered customers, you didn't really see any other kind of impact in your business. And I also noticed that Europe growth decelerated from kind of second half last year to the first half last -- this year by about 6 points. Can you help us just understand what's going on there? And then secondly, you've obviously reiterated your kind of midterm guidance around this kind of acceleration of the growth. Can you help us kind of perhaps frame or quantify that and the building blocks around, what's that's going to drive that? I know you talked about share gains, new customer volume adds, but it would be great to kind of get your calibration around kind of what's driving that acceleration again.
Maggie O'Donnell: Great. Thanks, Mo. Ethan, do you want to take all of those?
Ethan L. Tandowsky: Sure. First, if there are other types of impacts. Of course, we have quite a diversified customer base, right, diversified across regions, across verticals. So you see different impacts in different pockets of our customer base. Take one example, let's say, luxury retail, right, a vertical that we've been in for a number of years on the Unified Commerce side. I think it's pretty well known that this is a tougher period for some of them. But if you look at the growth on our platform, we actually see that that's a vertical that's growing faster than the platform overall. And that's because it's mixed in with share of wallet gains. That continues to be the big focus for us. How do we expand with our customer base? How do we make sure that we represent a bigger portion of their overall payments, and that's the biggest part of our growth in any given period. So yes, you can see some impacts in certain places, but also because there is the share of wallet gains connected to it, it's not always so simple to drive that view. In terms of the deceleration in EMEA, I think it's more relevant to look at this growth over a longer period of time, right? I think over the last, say, 1.5 years, we've seen that our fastest-growing region has been EMEA. I think given the scale of where we're at already in EMEA, it's a very clear sign that there's significant room for us to further grow here that in Digital, Unified Commerce and in Platforms, there's major opportunity still for us ahead even if it's our most mature region. And I think that's a strong sign for our growth going forward. So there's nothing I'd specifically call out from one period to the next. I think the fact that we continue to grow in this way is something that also is a positive for our long-term growth trajectory here. In terms of the midterm guidance that you referenced, you referenced the building blocks. There's a few things that are really important in driving our growth, right? The first is the rate at which we expand share of wallet. There, we continue to see strong signs. We've also seen that in the first half. It's a big area where we are in discussion with our customers. It's where the majority of our focus lies. That's trending well. Of course, we say we get visibility in that like 6 to 12 months out in discussions with our customer base. But the trend we see there, our position, the value we can bring to our customers that's apparent, and that's clear in how we're gaining share now. The other piece, which becomes much more relevant, not this year, but in future years is how we've been able to add or we are able to add new customers, right? It has a very little impact on our growth this year. But in future years, that should -- that's really important. And there, we've seen again that the 2025 cohort so far is far outpacing where we were in the past couple of years, another sign that we're well positioned, that we create value for our customers and that there's plenty more to win. I think those are the areas where we, of course, are most focused as an organization. We'll track closely the expectations of our own customers' growth through time. That develops as it will develop. But the areas of execution where we're really focused, we feel we're in a strong position.
Maggie O'Donnell: Great. The next question comes from Harshita Rawat from Bernstein.
Harshita Rawat: So you seem to now offer more services separate from your full stack acquiring. And looks like you've been increasingly modularizing your platform. We saw some of that with Adyen Uplift. You talked about the Protect module this quarter. How is that kind of modularized capability set resonating with your customers? Can that also help you kind of grow revenues at a different clip versus volumes? And then separately, I think your LatAm and APAC revenues accelerated kind of nicely this half. I know you've been investing a lot in local licenses and products. But maybe talk about the drivers of growth in those markets.
Maggie O'Donnell: Great. Thanks, Harshita. Ingo, why don't you take the first one on modularized services and then Ethan, the ones on LatAm and APAC?
Ingo Jeroen Uytdehaage: Sure. Yes, so on modularization, of course, that's a very important topic for our merchants. I think what we try to build is a platform that ultimately is flexible that basically caters the needs of our customers. So let's take risk as an example. There can be situations where, for instance, a merchant is also having another provider, but they want to consolidate their risk services with a single provider. These are the type of things that we want to solve for with our Protect offering. And therefore, it is very important to offer it like this, and that is in line with the strategy that a lot of our customers have. That's also why we're investing in it. It is important to make sure that we prove the value there. And of course, if we prove the value, it also becomes more logical to get more acquiring over time. So that's the strategy that we're executing on.
Ethan L. Tandowsky: And as far as LatAm and APAC, I think maybe one by one. In LatAm, we've been talking about investments we've been making in both Brazil and Mexico. In Brazil, that's -- we covered quite nicely the focus on building out Pix, a local payment method there, what we've been doing with our own license there for acquiring, how we've built out our advancements or anticipations product there. And that's something that our customers are appreciating and where we've been able to grow in a strong way in the first half in Latin America. It's also impacted by currency, so that growth would be even higher on a constant currency basis. In APAC, the same. I think the consistency of working together with our customers, supporting them in the geographies where they ultimately are looking for building their businesses has paid off. We've talked a lot in APAC about Japan and India. That's much more a longer-term play than something that we already see playing a huge role in our numbers today, but we're also really excited about the opportunities there to play out over a number of years. So I think strength in both places.
Maggie O'Donnell: Great. The next one comes from Hannes Leitner from Jefferies.
Hannes Leitner: It's Hannes from Jefferies. I got also a couple of questions. The first one, just on the guidance cut. Maybe you can talk a little bit about 2026. Do you expect that those headwinds in H2, which started towards the end of H1 will annualize in H1 next year? And then also along the same path of questions is around tariffs, like tariffs have been enforced early August. Would you expect that your updated guidance is already catering for any potential headwinds here? You mentioned share of wallet gains, but now to dive into it. And then maybe also on the same thing, you left the EBITDA margin target unchanged for this year. Maybe you can give a little bit better feeling now as you have lowered a little bit the top line and hiring stayed stable in Q2. And then just like the last thing maybe on pipeline and sales people and cohort. Maybe you can give there an update. It seems like all to work in terms of hiring and client and KPIs in Unified Commerce and Platforms. Why should you not accelerate hiring at this point?
Maggie O'Donnell: Great. Thanks, Hannes, for your many questions. Ethan, why don't you take the first three, so the one on the 2026 outlook, tariffs in general and EBITDA? And then Ingo, maybe you can touch on headcount and hiring.
Ethan L. Tandowsky: Yes. Again, I think the biggest impact that we saw here was in Q2. So I think your way of assessing this that, that annualizes in Q2 is fair, all other things equal. Of course, many things still have to play out by that time. So in isolation, that's a fair way to look at it. But of course, we'll track closely and continue to share updates on what we expect as time goes on. As far as if the tariffs are included in the guidance that we've shared, I think the way that we tried to look at it was, if you expect that the impacts that we saw in Q2 with this subset, this handful of customers continues through the course of the year, then our expectation is that our growth rate will be at a similar level to the growth rate we had in the first half. So it is a continuation of the trends that we've seen that we expect for the second half, and it is our baseline expectation. EBITDA is the last question, sorry for that. So on the EBITDA side, indeed, I think two things are true, right? We're continuing to hire and invest. That's really important because the growth trajectory for us is -- this is not a 1-year path. This is a multiyear journey for us. Ultimately, investments we make in the team today, those will not lead to short-term revenues. Those will play out over time. So we want to be sure that we maintain that flexibility to not only invest in the ongoing kind of business as usual type of areas, but also to make strategic investments in the right areas that make sense to drive that growth. And that's the flexibility that we're looking for going forward, which is why we continue to guide here even as we do expect EBITDA margins to expand from '24 into 2025.
Ingo Jeroen Uytdehaage: Yes. And then on the hiring, we're still focused on growth. So growth is most important. So we're looking at top line growth. And based on that, we looked at, okay, what is the right hiring plan that we could facilitate to get to this growth. And we believe that with the guidance that we have given there that we can execute on our plans. If we see an opportunity, of course, we will hire additionally if that's needed. But also, you see a lot of operating leverage kicking into the business. And we also want to see that operating leverage basically resulting in higher EBITDA margins. So it's finding that right balance, and we feel that we are on the right track, and that's also why you shouldn't expect an acceleration in hiring with the current growth, we can support the top line, and that's what we're managing towards.
Maggie O'Donnell: The next question comes from Fred Boulan at Bank of America.
Frederic Emile Alfred Boulan: Fred at Bank of America. If I can come back on H2 in terms of specific moving parts. So APAC to U.S. drag, you flagged about 2 points drag or impact in Q2. I guess some headwinds we had in H2 last year and this semester will subside, Cash App, eBay, et cetera. So that implies a slightly higher underlying growth rate towards 21%, which is what you guide for H2. Any other moving parts we should bear in mind when you look at the second half? And then more specifically, I know you've been asked already about '26, but in stressing you reiterate your financial objectives. They point to kind of low to high 20s. Can you spend a little bit of time on the kind of usual building blocks? I mean you mentioned wallet share and new logos where you're still very confident, but it would be good to understand a little bit how you -- if you think that, that kind of acceleration embedded in the guide is still something you -- we can expect for next year as well?
Maggie O'Donnell: Thanks, Fred. Ethan, do you want to take both of those?
Ethan L. Tandowsky: Yes. I think you highlighted the main moving parts for the second half, right? We did see that most of the impact happened in Q2, not for the full first half. So that will have a bigger impact in H2 than in the full H1 as we expect. We do get some lapping of large customers who have lower volumes this year than in the last year towards the very -- towards the back half of the second half. I think those are the main moving parts. I think you highlighted them. And ultimately, that's what gets us to the view that we'll expect similar growth in the second half compared to the first half. In terms of financial objectives, indeed, we did confirm our guidance for '26. The reason we continue to confirm our guidance is that, again, we see strength in our ability to gain share of wallet with our existing base. Again, the new wins are performing strongly this year also when you compare it to past year. So we feel confident not only this year, but also going into future years. Of course, we need to see how this plays out in the coming months and year, and we'll give as much insight as we can along the way to what we're expecting. But we're confident in our position, and that's ultimately why we confirmed the guidance for next year as well.
Maggie O'Donnell: Great. The next question comes from Darrin Peller from Wolfe Research.
Darrin David Peller: Thanks, Maggie. Ingo, it sounds like you're adding more new logos this year than even prior and maybe more than maybe you would have anticipated perhaps. Is that uplift? Is that dynamic routing? What's really driving the incremental success maybe even in prior years or it's just scale on top of all the innovation? And then Ethan, I know we've asked a lot of questions on guidance, but same-store sales was supposed to be somewhere around 7 or 8 percentage points contribution, I think, to your overall building blocks. So is that the same assumption? Or do you need less of that now given the new logos for, let's say, 2026?
Ingo Jeroen Uytdehaage: Okay. On the first question, so indeed, the increase in logos or the improved cohort of '25 is indeed the result of investments that we have made, particularly in the sales teams in the recent years. I think we've spoken about this quite regularly, how we further want to double down on increasing the sales teams and making sure that we could further grow the company. And I think you see the results here in this strong cohort. Of course, that's also based on the products that we are developing. So indeed, with the uptake of Protect as an example, you can see that that's really valued by new customers. But I think the root cause of indeed getting a higher cohort is also related to the fact that we have upped the number of people in the sales teams.
Ethan L. Tandowsky: And on same-store sales, I think in our terminology, we call that the market volume growth, so the growth of our customers, if I understand right. We've talked about back 2 years ago that we would have -- that we expected around high single digits growth, double-digit growth from the growth of our own customer base. Of course, that's what we're talking about now not being at our expectations headed into this year. But ultimately, it's something that I think is a trend that will continue over time that this is still a set of customers, which is growing fast, that there's still significant payment adoption to happen over time. So I would continue to expect that the growth of our own customers plays an important role in our growth. Having said that, again, the share of wallet expansion, that is the biggest piece. And if you add in the new customers that we're winning now and that we've won over past years and you add them into your existing -- your group of existing customers over time, I expect that, that will still continue to be the biggest part. But I do think that this will still be a growing market for a number of years ahead.
Maggie O'Donnell: The next question comes from Sandeep Deshpande from JPMorgan.
Sandeep Sudhir Deshpande: My question is back again to the '26 guidance. I mean you have guided previously in the midterm for low 20s to high 20s, which would be at the midpoint around 25%. But over the last 2 years, you've been closer to the low end of that guidance. What is it that will take that towards the midpoint of that guidance? Is it this additional revenue generation from these new modules that you're adding, which can increase the monetization? Or is it the new products that you have invested in over the last 2 to 3 years in the platforms, et cetera? So is that is what is going to accelerate the growth from here? Or is it the new logos that you have added? And my second question is regarding your new products itself. You talked about your growth in acquiring -- sorry, in terms of the cards that you've been issuing through your -- some of your partners. How do you recognize that revenue? And maybe how should we be looking at it in future years? Is this also some of this sort of product going to be driving the growth?
Maggie O'Donnell: Thanks, Sandeep. Ethan, why don't you take the one on the outlook and then maybe touch on issuing and how we recognize revenue. But Ingo, maybe you could talk about issuing as a product in general.
Ethan L. Tandowsky: Yes, sure. So in terms of what we expect to be the biggest driver of our growth, products play a role, right? And individually monetizing them has some role. But the biggest advantage of driving this product innovation is the fact that we can do more share of wallet with our customers, right? They work together with us because these products are solving real pain points for them. And of course, you monetize part of that and make sure that you capture the value that you're providing to your customers. But I think for us, the real focus is how do we continue to get more share of wallet with our existing base and how do we continue to break into more and more customers and bring them onto the platform because I think we have a very proven track record of the moment we start working with customers. We also ramp them up over a number of years when they experience both the service and the product. So I think those much more continue to be our focus more than individually monetizing any individual product. I think that will continue to be our approach also into '26. As far as issuing revenue, it looks very similar to what happens on the acquiring side, right? So we earn processing fees as well for each transaction, and we earn a type of markup when we ultimately settle those transactions to the card schemes. So you can think about it very similarly to the types -- the way that we also monetize on the acquiring side.
Ingo Jeroen Uytdehaage: And on issuing product, like issuing is very important in our EFP proposition. So it's one of the products to help basically platforms to offer issuing as a financial product. It's a product that we started in 2019. That's when we launched it. So I think it's also very clear that it takes time to build it at the scale that we wanted to have. Specifically in the last 12 months, you see the fruits of investing in this area. So with the current run rate over EUR 2 billion, we are making a lot of effort over a lot of -- we create a lot of results on the issuing space, and I'm very pleased to see that. And that's also how we will look at the other investments in the financial products. It will take time, but the opportunity is there, and that's why we continue to invest in it.
Maggie O'Donnell: The next question comes from Josh Levin at Autonomous.
Joshua D. Levin: First question, when you have some kind of tariff or de minimis tax event, something that causes volumes to slow down, do you have leading indicators or an internal warning system that tells you before the volume slow down? Or you only sort of see it or understand it yourselves when the volume actually slows down? And then second, are you seeing any changes in consumption patterns, which partially offset the impact of the de minimis tax, for example, consumers switching to other platforms and you happen to be the acquirer for those platforms?
Maggie O'Donnell: Thanks, Josh. Ethan, do you want to take both?
Ethan L. Tandowsky: Yes, sure. So I think in general, right, we're working with large enterprises. We have account management teams who are really close to each of our customers. And I would say the best indicator we get is through discussion with our customers. One of the things we highlighted was, for instance, a big focus on Brazil at the moment, right? It's really important that as we have these discussions that we understand how our customer strategies are developing and supporting because in the end, we have one global platform, which can typically help them with strategic shifts that they may be making. That's where we've had our teams very, very focused. I think that's where we're seeing a nice traction. Our customers see us as a trusted partner that can help them drive any strategic shift that they're looking for, and that's the focus that we've had. So I don't have like a specific KPI I talk to, but mostly, it's engagement from our teams with our customers to understand their expectations for their business and how we can help them with it. In terms of changes in consumption patterns, so our platform is a representation of the customers we work with and in the markets that we work with them, right? Of course, there are parts of the platform which have seen benefits, parts of the platform, which have seen negative impacts over the last half year. I would say on a total basis, this is the one which is relevant to call out, which is why we did call it out in this letter, but also why I've hopefully helped to quantify it so you get a sense of the type of impact that we're talking to.
Maggie O'Donnell: The next question comes from Pavan Daswani at Citibank.
Pavan Daswani: Pavan Daswani from Citi. I've got a couple, if I may. Firstly, maybe another follow-up on 2026 growth, if you don't mind. I appreciate that the market growth component is still uncertain where we lap that 2 percentage point impact in Q2 next year. But all else being equal, could you maybe touch on the visibility on wallet share ramps and whether you expect that to accelerate next year from the new products that you've talked about gaining some momentum on? And then secondly, on stablecoins. You mentioned that is something you could look to integrate if your customers ask for it. Where are we now based on current conversations? And could this integrate -- what could this integration potentially involve?
Maggie O'Donnell: Great. Thanks for your questions. Ethan, why don't you take the first one on 2026 and then Ingo, the one on stablecoin.
Ethan L. Tandowsky: Sure. So on share of wallet wins, we typically -- because we get this information through discussion with our customers, right, understanding their biggest needs, their biggest priorities, mapping out these accounts and then working together to grow with them, we typically look at that on like a 6- to 12-month time horizon. So of course, as you get closer towards the end of the year, you start to get a view on what the next year looks like, specifically kind of opportunity by opportunity. If you think about it more holistically, the trend we're seeing is that across regions, across pillars, our product is really resonating. And that's the thing that's allowing us to capture share of wallet at the rate we are. That's ultimately what's driven our resilient growth in the first half is that we've been able to expand our share of wallet with our existing base. And so the trend is positive. Of course, we only get more visibility into the specific opportunities as we get closer to the year. But I would say the trend for us is positive on our existing customer base. Next to that, we also see that for new wins, that's also in a better position than it was even in the last couple of years. So our cohort this year is larger than what we've done in past years. I think those are the trends which give us the confidence to confirm the guidance. And I think as we get closer to the year, we also know specifically the opportunities that we'll specifically focus on together with our customers.
Ingo Jeroen Uytdehaage: Yes. And on stablecoins, where are we at the moment? So I think the conversations that we have with our customers is to see how we can help them to move money around the world. I think that's the first question. So if you look at the markets where we are and if you see, for instance, in all the main markets that we're active, we have already this ability to move funds around quickly at the lowest cost because we are connected directly to the clearing. So it's less of a need. So I could imagine that, for instance, if inflation would be very high in a country like Brazil. Let's assume that this would happen in the next 12 months. So way beyond the current inflation rates that there are merchants in Brazil that, for instance, would start to ask for a payout in stablecoins. That will be a scenario where we certainly would look into if regulatory situation would allow it. I think that's one example. Of course, another application could be stablecoin as a payment method. But we think that, that's relatively still very unlikely. If it would happen, we would certainly start to look into that. But that's at the moment, remote and not under discussion with our merchants.
Maggie O'Donnell: The next question comes from Sven Merkt at Barclays.
Sven Denis Merkt: Maybe one follow-up question on the wallet share growth driver. Can you perhaps provide us just a bit more color how penetrated your customer base is now and how sustainable this growth contribution could be in the medium to long term? And then a second question on issuing. Volumes have ramped very strongly from a low base. Can you give us a bit more color on how broad-based this is and how we should think about growth for the second half and next year?
Maggie O'Donnell: Great. Ethan, why don't you take the first one and Ingo the second one?
Ethan L. Tandowsky: Sure. I guess, almost 2 years ago, we shared our view on what we think our share of wallet is kind of per pillar. I think to summarize it, we feel that the majority of payments are still to win in these customer segments. So there's still certainly opportunity for us to continue to grow with our existing customers for a number of years. Having said that, at some point, this existing base will be penetrated to the level that we think we can get to. So what's important is also that we add new customers because -- of course, they are new customers at some point, but they also become existing customers. They become your base that you can grow off of. And that's why while new customers are not very relevant to our net revenue growth, let's say, this year, they're really relevant to our growth in '26 or in '27 and beyond, which is why we track it very closely. And again, why we're pleased to see that it's a cohort that's growing at a faster rate than what we've seen in previous years. Of course, there's opportunity to win in the existing base, but it's also really important that we continue to add these new customers so that as the years go on, we can capture the growth opportunity that we have.
Ingo Jeroen Uytdehaage: Yes. And on issuing, I think the investments over the years indeed start to work out. The number of customers that use issuing has also increased. So it's not just dependent on a single or two customers. So I'm very happy with the fact that we get a well- distributed selection of customers using issuing. And that also is why I'm very confident on the growth profile going forward. We don't specifically guide on expectations for issuing volumes. But given the development over the past 12 months, you can see that we have a lot of traction in this area and why we're quite bullish on further developing it and making sure that we increase the volumes with our customers, but also increase the number of customers because that's also what we have seen in the past. The moment that you have specific use cases up and running and you start to process them at scale, more will follow. And I think we have gone to that situation where that's actually the case. So we have a lot of proof points. We also now have the volumes. So then the additional growth will follow in the next years.
Maggie O'Donnell: The next question comes from Nooshin Nejati from Deutsche Bank.
Nooshin Nejati: I appreciate that we already exhausted the guidance, but I just wanted to know like tariffs aside, can you tell us more about macro trends and the impact of macro in different geos? Are you seeing any sort of improvement? And in your guidance, do you expect same trajectory or some improvements there? Also strategic change, do you expect further wallet share gain elsewhere from these APAC merchants other than North America in your guidance? Or would that come up as some sort of upside?
Maggie O'Donnell: Thanks, Nooshin. Ethan, do you want to take both of those?
Ethan L. Tandowsky: Sure. Yes. So I think I'd probably go back to the example I shared on what we see in, for instance, luxury retail. The fact that macroeconomic trends are mixed in with our share of wallet expansion means that it's not always straightforward to identify these, especially on a short-term basis, right? So I think what we've tried to clarify is the area where we see it most impactful. That's clearly this handful of customers, APAC headquartered in the online retail space where it's quite clear. In other areas, it's often mixed in with share of wallet gains, and it's not very visible to us. So there's nothing else that I would highlight or that I should quantify that would be, I think, helpful to your thinking for the second half. In terms of strategic shift, we're constantly looking at the opportunities that we have with our customer base. So yes, there's an opportunity to help our customers in other markets. We highlighted Brazil, for example, as one of the important opportunities that we have. It is factored into the opportunities overall that we see in the business, and it's something that we'll focus closely on to make sure that we execute well. So yes, like other opportunities, we look at it as part of our assessment of what to expect going forward.
Maggie O'Donnell: The next question comes from Sanjay Sakhrani at KBW.
Sanjay Harkishin Sakhrani: Ingo, you mentioned you can help these handful of affected merchants in APAC move into other markets. How long does that journey take? And can that have an offsetting impact this year? And is it factored into sort of that 2% that you've expected over the remainder of the year? And then just secondly -- sorry, Ethan, let me ask a modeling question. One is just finance income. I know it's a smaller part of revenues, but rates are declining in Europe. They're probably going to decline in the U.S. How should we think about interest rate sensitivity on a go-forward basis? Sort of what have you baked into your expectations? And then just secondly on -- just a clarification point. That 2% impact that happened in the second half of the first half, like it would have been higher over the first half. Just to be clear, you're just assuming 2% impact for the second half or just a quarterly 2.5 -- 2%, sorry.
Maggie O'Donnell: So the first question, Ingo, you can take that one. And then Ethan, you'll take the second two?
Ingo Jeroen Uytdehaage: Cool. Yes. So indeed, how long does it take to get this implemented? So I think it depends a bit. Typically, we are not a blocking factor here because if you want to move your operations from one country to the other or if you want to expand into a new country, there is way more things that you need to arrange for as a customer. We are active in the markets that we're looking for. So I think one of the markets that is looked into is both Brazil and Mexico to see how customers can further grow there, and we are active there. So we are able to move quickly. It's a single platform. It's a single integration. So it can be done in a couple of months to get up and running. Of course, we have tried to take that into account also in being helpful on what we expect for the rest of this year. So I think it's included in the numbers.
Ethan L. Tandowsky: And on finance income, so the part which is in net interest income, the part that's within net revenues, it has slight interest rate sensitivity, but mostly not. It is very small, right? It has limited impact on our net revenue growth this half, but also I wouldn't expect that to change in the next few halves. But ultimately, it has little interest rate sensitivity. What has some more interest rate sensitivity is what's below EBITDA. So the interest income that we make below that line, that has some impact from interest rates as the majority of that interest is earned by putting those funds at central banks. And if they change their rates, that has some impact on the interest income component, the one below the line, a very little above as part of net revenue. And the 2 percentage point impact, again, yes, that was Q2. That's what we expect to continue through the course of this year. For H1, that number was less because we didn't see the same type of impact in Q1. But we're factoring in that Q2 number, which is also why I tried to quantify the number for Q2 and not the total number for H1.
Maggie O'Donnell: Thank you for your questions. The final question is going to come from Bryan Bergin at TD Cowen.
Bryan C. Bergin: First question, 2025 cohort growth. So you noted that the 2025 cohort is tracking well ahead of prior years. Can you just add any quantification to that as far as how much larger it is in the average land size or the pace of their relative expansion versus those prior cohorts that may help sue some of the concerns on the '26 commentary here? And then on -- second question on financial position. So now EUR 12.5 billion net cash. Just any evolution in the thought here on potential uses of cash, understanding you require the cushion for credit rating considerations and you're scaling capital businesses in EFP. But can you just share any relative balance sheet lending intensity factors that you kind of consider internally?
Maggie O'Donnell: Go ahead.
Ethan L. Tandowsky: Yes, I'll take them. I think maybe what's helpful is if we look at how the 2025 cohort compares to other -- let's say, 2024, it's growing at a faster rate than the overall platform, right? So the comparison of this year's cohort compared to last year is at a higher rate than the overall platform is growing. So not only is it just bigger in isolation on an absolute basis, but also on a relative basis, it's supportive to our growth over time. In terms of the cash position, I think what's really key for us is continuing to drive the growth that we expect over a number of years, as I mentioned earlier, I think the flexibility that the strength of our balance sheet brings is still the best use of cash to help drive that growth, and that's going to continue to be our focus.
Maggie O'Donnell: Great. I know I said we have only one last question, but I think we can squeeze in one more quick one from Evercore. So Adam from Evercore. Adam Frisch, can you hear us? All right. We'll try one more. Alex Faure from Exane? All right. I think we're all set. Thank you, everyone, so much for joining us today. One thing I'd like to mention before we go is that we are going to be hosting an Investor Day here in Amsterdam on November 11, 2025, and we're looking forward to seeing you all there. Thank you so much for joining us.